Operator: Welcome to Johnson Controls Third Quarter 2019 Earnings Call. Your lines have been placed on listen-only until the question-and-answer session. . This conference is being recorded. If you have any objections, please disconnect at this time. I will now like to turn over the call to Antonella Franzen, Vice President and Chief Investor Relations and Communications Officer.
Antonella Franzen: Good morning and thank you for joining our conference call to discuss Johnson Controls third quarter fiscal 2019 results. The press release and all related tables issued earlier this morning as well as the conference call slide presentation can be found on the Investor Relations portion of our Website at johnsoncontrols.com. With me today are Johnson Controls' Chairman and Chief Executive Officer, George Oliver; and our Executive Vice President and Chief Financial Officer, Brian Stief.
George R. Oliver: Thanks Antonella and good morning everyone. Thank you for joining us on today's call. I'm going to start with a few strategic highlights from the quarter beginning on Slide 3. Looking at our results for the quarter as a whole we remain encouraged by the ongoing progress we've seen over the last several quarters. We delivered another strong quarter of organic revenue, order and backlog growth and also delivered on our commitment to generate $600 million in adjusted free cash flow. These results reflect the continued emphasis on driving underlying fundamentals focused on innovation and new product development, talent management, enhancing commercial excellence across the organization, and optimizing our cost structure.  As I think about the reinvestments we have made and continue to make to support future growth I am confident that we are strategically strengthening our market position. As we highlighted in the examples we provided to you last quarter our objective to lead the evolution of smarter, more efficient, and more sustainable buildings and infrastructure is coming more into focus every day. In pursuit of developing our strategy in connected buildings we are actively partnering with our customers, technology providers, and integrators to create comprehensive digital solutions with attractive value propositions that assist our customers in achieving their goals and missions. Our broad portfolio of smart edge devices, connected equipment and systems in cloud based data analytics capabilities provide Johnson Controls the unique competitive advantage as the industry begins this transition.
Brian J. Stief: Thanks George and good morning everyone. So starting on Slide 6 let's take a look at our year-over-year EPS bridge, operational performance including synergy and productivity save contributed $0.10 which was partially offset by $0.02 of continued product investments in the fiscal 2018 run rate sales force additions we have talked about in prior quarters. Other below the line items contributed a net $0.03 to our Q3 results of $0.65 which was up 20% year-on-year.  Moving to Slide 7 let's review our segment results on a consolidated basis. Sales of 6.5 billion increased 6% led by 7% growth in products and 5% growth in our field businesses. During the quarter we saw solid service growth in North America and tempered growth in EMEA/LA and APAC. Overall service growth was 2% in Q3 and we continued to convert our project backlog with installation revenue up 6% led by solid growth across all regions. Segment EBITDA of 992 million grew 7% driven by volume leverage from our field and products businesses as well as productivity and synergy save. Q3 segment EBIT margin provided 20 basis points to 15.4% as volume leveraged across our businesses, favorable mix in global products, and synergy and productivity save is partially offset by a 30 basis points headwind related to mix in North America that George mentioned. As you can see in our margin waterfall, underlying operational improvement contributed 60 basis points which was partially offset by continued product and run rate sales force investments.  Now let's take a look at each of the segments in more detail, so starting with North America on Slide 8, sales group 4% driven by continued strength in both installed and service which were up 4% and 3% respectively. Q3 growth was led by strong high single-digit growth in our applied HVAC and controls businesses as we saw double-digit increase in Applied Equipment sales. Our Fire & Security service and installed businesses grew low single-digits on a tough prior year compared to 7%. Our performance solutions business declined high single-digits in the quarter. Adjusted EBITDA declined 3% and EBITDA margin decreased 90 basis points to 13.3%. Benefits from synergy and productivity save as well as volume leverage were more than offset by unfavorable mix within the individual platforms and the year-over-year impact of our run rate sales force additions. So just to comment on mix as this was a primary driver of the North American margin headwind we saw in the quarter. You may remember that in Q3 last year we benefited from very favorable mix in our North America segment. This was a result of a higher margin Fire & Security businesses growing at a faster pace than our HVAC business. Additionally within Fire & Security our high margin retail business had a very strong Q3 last year driven by several large shipments to big box retailers. 
George R. Oliver: Thanks Brian. Before we open up the line for questions let me provide you an update on our 2019 guidance starting with our EPS walk on Slide 18. Just a couple of changes versus what we shared with you last quarter, there is no change to the EPS benefit from operations, synergies, and investments in sales force additions. You can see the impact of our capital deployment on net financing charges and share count. Compared to our EPS guidance range last quarter there is $0.04 of additional benefit at the midpoint of the range. This primarily relates to a benefit in net financing charges due to favorable interest income rates and less interest expense given our significant debt paid down activity during the quarter. As well as a start to right size corporate costs resulting from the sale of Power Solutions. As a result we are tightening our EPS guidance to the high end of our previous range and now expect the EPS before special items to be in the range of a $1.93 to a $1.95 representing EPS growth of 21% to 23% year-over-year. This includes an expected Q4 adjusted EPS range of $0.76 to $0.78. Turning to Slide 19, we have updated some of our operational assumptions as well as the below the line items to reflect our year-to-date performance and current outlook for Q4. For the full year organic growth is now expected to come in at the high end of our previous range up 5% to 6%. Given the higher expected revenues coupled with the Q3 mix in North America our segment EBITR margin expansion is now expected to be approximately 30 basis points for the year. As I mentioned earlier we are continuing to see top line momentum across the businesses and our focus remains on driving the fundamentals both from a P&L and cash perspective. With that let me turn it over to our operator to open the line for questions.
Operator: . Our first question comes from Jeff Sprague with Vertical Research Partners. Your line is open.
Jeffrey Sprague: Hey, thank you, good morning everyone. 
Antonella Franzen: Good morning Jeff.
Jeffrey Sprague: Good morning. Just on cash use and kind of the outlook for that, clearly on the repo it looks like you're holding back and Brian actually used the term like if we see the need to preserve cash, so can you just give a little bit of color on what you're thinking, do you see something more worrisome from a macro standpoint, or are there some particular reason you're kind of keeping a 1 billion in your back pocket here?
Brian J. Stief: No, I think what I was trying to communicate there Jeff was simply that we've got a formal program right now for 3.1 billion and our plan is to make sure that gets executed during fiscal 2020. As we move through the year we could very well use that other $1 billion for share repo as we move in the back half of next year but we are going to just maintain a bit of flexibility both from a macro standpoint to see how things play out and there might also be some product line gap fillers or other M&A that we want to look at as well. So we just didn't want to fully commit right now the entire 4.1 but we're going to do the 3.1 and the remaining $1 billion will kind of keep you updated on as we move throughout fiscal 2020. 
Jeffrey Sprague: And then maybe as a follow up on that George, what are you thinking on the M&A front, you have an active bolt on pipeline, anything moving through that pipeline?
George R. Oliver: Yeah, let me start Jeff by saying relative to our performance as we've communicated we're continuing to focus on execution, delivering our commitments and delivering results. That all being said we continue to look at M&A with bolt ons that as we're reinvesting with our organic reinvestments we're making sure we're supplementing that with strategic bolt on. So there is a pipeline that we've been working, a lot of that is in the building management systems as we build out our capabilities within our digital solutions, and so we are continuing to pursue acquisitions. As Brian said we do believe that the environment we still see a very good environment, pretty much across our markets. And we're continuing to capitalize on that as we're converting not only the pipeline to orders but now the orders to grow. And so we're going to stay focused on execution, we're going to make sure that we're also keeping track relative to what's happening in the M&A and as we go forward we want to continue to strengthen what we're doing organically.
Jeffrey Sprague: Great, thank you.
Operator: Our next question comes from Andrew Kaplowitz with Citi. Your line is open.
Andrew Kaplowitz: Hey, good morning guys. 
Antonella Franzen: Good morning Andy. 
Andrew Kaplowitz: George, we know you had a relatively significant mix issue that you talked about in Building Solutions North America. You mentioned Fire & Security is growing more slower than HVAC & Controls but it did slow down a little bit in Q3 versus Q2. You mentioned a difficult comparison on retailers this quarter but any of the store growth a little slower in U.S. retail economy and how much would you expect a 90 basis points of mix headwind on the business to improve in the quarters ahead?
George R. Oliver: Yes, so as we look at what took place in third quarter, as you said it was mainly driven because last year we had very strong growth in Fire & Security and within that very strong growth in retail. And then year-on-year although we are outperforming the market in Fire & Security in 2019 it's at a much lower growth than our HVAC business which we're continuing to execute very well. And so as we now project North America going forward we see in fourth quarter roughly about 30 basis points with the mix that's going to come through in third quarter. And for the year I mean it will be relatively flat for the year.  Now when you look at the year it suggests that our productivity and synergies is offsetting the investments we're making in sales force as well as the pension headwind. And then the volume that we are achieving now is offsetting some of that negative mix. But we're very confident with the fundamentals we have in place, the way that we're driving improved fundamentals to be able to on a go forward basis see improved leverage as we go into 2020.
Andrew Kaplowitz: George maybe if I could follow-up on that, the incrementals in your products business were much stronger than usual. We know that pricing versus costs are strong but did you actually have lower investment than usual in the quarter in that segment and you talked about incrementals in products getting up to 30% over time, I know you mentioned op investment in Q4 but you are actually ahead of schedule on improving the execution on the products in that segment?
George R. Oliver: Yeah, when you look at our product business year-on-year this is where a lot of the work that we've done around price cost has come through and as you know we had significant commodity headwinds as well as tariffs. We've done a nice job ultimately driving price as well as productivity to get positive price cost and that within the quarter is about 40 basis points. So overall that has been a big strength for us. With the leverage when you look at our investment profile it is -- it was pretty much spread through the year and as Brian said, we'll see some additional reinvestment in fourth quarter based on the timing of our product launches. But it's not -- it's in line with what we expected.  So as we look at these businesses what I would say is we're building the fundamentals, we're getting the lift with the reinvestments we're making and that's coming through the growth, and that we're executing very well the price cost which is adding to the overall margins. On a go forward basis we believe with the continued performance with growth, with the work that were driving fundamentals we're going to be in a position to be able to leverage the product. The leverage margins will be 25% to 30%. 
Andrew Kaplowitz: And you see that 40 basis points being pretty stable going for the price cost?
Brian J. Stief: Yeah, I mean based on what we see today I mean you can't predict all of what's going to happen in the future but I feel confident now that we're -- we have a good understanding of what's happening from a cost standpoint, what's happening with tariffs, and that from a pricing standpoint we're now pricing -- taking that into account on a go forward basis. 
Andrew Kaplowitz: Thanks guys.
Operator: Our next question comes from Steve Tusa with JPMorgan. Your line is open.
Stephen Tusa: Hey guys, good morning. 
Antonella Franzen: Good morning.
Stephen Tusa: Can you maybe talk about what you are seeing on the global applied markets, what your order pipeline looks like for the next several quarters including in China?
George R. Oliver: Yeah, what was the -- which markets are you referring to Steve?
Stephen Tusa: Global applied. Applied equipment, just the order pipeline there, HVAC applied. 
George R. Oliver: So, let me just give you a perspective on our overall HVAC businesses globally. When you look at our performance our orders are up 6% globally. Our revenues we converted revenues at 7% and when you look at our pipeline we're continuing to build pipelines pretty much across the globe that are up kind of mid to high single-digits both in our commercial and residential businesses. So overall I feel very good about the work that we've done to be able to take advantage of that market. When you break out into the segmentation you see our commercial HVAC businesses are growing 7% and that's been driven by applied as well as with the service that we're getting and as a result of the installed base that we're putting in place. And then when you look at rev  we're up kind of mid single-digits and that's a combination of our UPG business up kind of mid single-digits in North American and our  business up high single-digits. Up high single-digits globally and so overall Steve we still feel very good about the pipeline, how we're converting the pipeline, and then how that's setting us up here as we go forward in 2020.
Stephen Tusa: Okay, and any specific comments on China, what you're seeing in China commercial HVAC?
George R. Oliver: Yeah, so China when you look at the China market it continues to perform. I mean we're seeing kind of orders in the mid single-digits, we're seeing a little bit better in service which is high single-digits. So we're watching this closely but as you know we have a strong presence there. We have a strong positions from a market share standpoint and we've been making sure that we've got the right product. And we're ultimately capitalizing on the growth that's occurring. So we have not seen any significant change in the activity or the pipeline that we're building and as I said we're continuing to build our service business which over the cycle is very important to make sure that we're getting the recurring revenues. 
Antonella Franzen: Steve the only thing I would add is that China specifically orders were very -- although APAC was up 1%. China orders were really strong and it was a mix between install and service.
Stephen Tusa: Great, thanks for the color guys. 
Operator: Our next question comes from Nigel Coe with Wolfe Research. Your line is open. 
Nigel Coe: Thanks, good morning. 
Antonella Franzen: Good morning. 
Nigel Coe: Just wanted to go back to North America  and the retail headwinds, you have obviously covered that already but can you just recap how big is the retail exposure there and it does feel like the physical footprint of the retail effect is starting to shrink in an accelerated pace, I'm just wondering how you think about that business going forward in light of this online transition that seems to be occurring?
George R. Oliver: Globally Nigel the retail business is about $1 billion business. It is a global business with a significant piece of that in North America. What happened last year we had very strong growth in the quarter last year and it was mainly driven by some significant product shipments in the quarter which obviously didn't repeat this year. Overall as you know we got multiple businesses there, we have the antitheft security business as well as we've been building a digital traffic business. As well as our inventory management business, those businesses are performing well. Certainly with the slowdown in some of the challenges in retail, some of the projects have been pushed out which we've seen here in third quarter and we're watching that closely for fourth quarter. But as you know overall this is a good business. We've had a lot of growth, we had a lot of growth last year obviously seeing the impact this year, but we're going to watch this closely.
Nigel Coe: Okay, great and then just a quick one on the NPI line, it's up quite a bit from your prior guides and I'm just wondering what's -- what business is driving that? 
George R. Oliver: So those would be the Hitachi businesses where we own 60% of those ventures and they perform -- continue to perform very strong and that Q3 and Q4 and even into fiscal 2020 we're going to continue to see that NCI line move up simply because of the strong performance of Hitachi.
Nigel Coe: And then just Brian quickly is that better revenue or better margin and where do we stack up right now on getting cash out of those JVs? 
Brian J. Stief: So you probably saw in the quarter if you look at the cash flow statement that was attached to our release we did get a big dividend in the quarter as we expected. As I think I've mentioned on this call in the past the second calendar quarter of each year is when we have certain of the board meetings related Hitachi entity -- entities I should say and we did receive a large dividend in the third quarter as we had planned so the good news is it's at a larger amount than we've got in prior years and we continue on a go forward basis. We'll have to work on getting out a similar level of dividend or again as I've talked about in the past it may require some reinvestment in the Hitachi business to support the growth. So on a go forward basis we're just going to have to monitor the level of dividends that we get out of the Hitachi joint venture but in the quarter we got a large one.
Nigel Coe: Okay, thanks Brian.
Operator: Our next question comes from Julian Mitchell with Barclays. Your line is open. 
Julian Mitchell: Hi, good morning. Maybe just the first question on the corporate expense, very, very good progress there again. And when we think about the sort of go forward run rate I think we've been thinking maybe another 50 million or so reduction into next year. Does that sound about right so the sort of go forward to run rate is closer to 330 million figure like that? 
Brian J. Stief: Yeah, that might be a little heavy. I would just say that I was very pleased with the actions that our corporate team took immediately after the Power sale to begin taking costs out to right size. I would say this year there's probably going to be $10 million taken out. Realistically as we transition through fiscal 2020 I would say that cost will be taken out during the course of the year so if you assume we take them out pro-rata that's going to probably give you another 20 million minimum and if we can accelerate some of that maybe 30 million to 35 million would come out next year. And then the full run rate of 50 million we would see as we move into 2021. So I think more along the 30 million to 35 million is probably a better number to work with.
Julian Mitchell: That's helpful, thank you. And then just a quick follow-up, I'm not sure how specific you can get but you did book that 140 million environmental reserves in the quarter, so maybe just give us a mark-to-market of where the environmental reserves sit now in total at present at JCI and this charge obviously cleaned up that Wisconsin issue you mentioned in the Q and the noise on a triple S around municipal and individual actions, any upcoming events you think we should watch for, all points on that as they pertain to JCI? 
Brian J. Stief: Well let me comment on your first question regarding environmental reserve. I think we are appropriate reserved for the Marinette issue based upon all the work that we did in the quarter. Incremental of that $140 million reserve I believe we've got reserves globally for other matters less than $100 million. I want to say between $50 million and $100 million. There's a footnote disclosure on that in the Q's and K's but this particular matter in Marinette at 140 million is the largest one that we will manage over the next several years. So I think from an environmental research standpoint we feel comfortable with where we are. 
George R. Oliver: And Julian let me address the other part of the question on the civil litigation. I think we need to put this in perspective. Tyco and Chemguard make life saving firefighting foam, PFAS chemicals. They purchased the compounds that contain trace amounts of PFAS which they then blend to make the foam. And the fire fighting foam is made to exacting military standards. So majority of the foam at issue is specified and used by the U.S. government and military and therefore subject to the government contractors defense. And Tyco and Chemguard have always acted responsibly in producing these firefighting foams and we feel very confident in our ability to defend these clients.
Julian Mitchell: Great, thank you
Operator: Our next question comes from Josh Pokrzywinski with Morgan Stanley. Your line is open. 
Joshua Pokrzywinski: Hey, good morning guys. So you made a comment earlier George about some of the channel inventories in the unitary side just still being high at the end of the quarter. How long do you think it takes to work those down and then if you seen any pushback or softening in the price environment just as other folks in the system as well are trying to move inventory along a little bit in the back half of the cooling season?
Brian J. Stief: I think we should see a normal bring down of that inventory during Q4 and I don't think it's going to have any impact on our pricing in the market at all. So I think it's more seasonal that will come down here as we move through the fourth quarter.
George R. Oliver: And we've been managing the inventory as this has played out over the last quarter and some of the impact of weather and the like we've been managing that appropriately. We are watching that closely as we get into the latter part of the season here but we are positioned as we have planned.
Joshua Pokrzywinski: Got it, that's helpful. And then just a follow up on the retail Fire & Security exposure there. I guess I knew mix was strong last year, I didn't appreciate exactly where that came from. But just thinking about the pipeline in that piece specifically is -- does that tend to be lumpy over time, are there any other quarters that we should keep in mind over the past several that have had outsized mix there as you comp that could be could be a challenge?
George R. Oliver: When I look at -- I've been part of the business for a number of years, when we look at the profile of business you do have some year-on-year compares occasionally because of the way the projects are executed with retailers. There is a seasonality to the business as you look at the four different quarters. So I don't think it was anything unusual based on what we've seen. Certainly we're pretty much aligned with all of the big retailers given the presence that we have in retail and we are staying close to what their plans are relative to their investments and the like. So I don't see anything that's significantly unusual at this stage.
Joshua Pokrzywinski: Great, thanks for the color.
Operator: Our next question comes from Deane Dray with RBC Capital Markets. Your line is open. 
Deane Dray: Thank you. Good morning everyone. 
Antonella Franzen: Good morning. 
Deane Dray: Hey, would like to get some color as you see it in North America non-res construction, just kind of trends, there's some anxiety in some sectors that the macro uncertainty is weighing on project releases and just are you seeing anything along those lines and just to be clear on the retail push outs that you've seen, is that more retail sector specific or would that be attributed to some of the broader macro ones certainly?
George R. Oliver: So let me start with your first question there Deane relative to the environment. I think when we look at all of our industries whether it be ABI, Dodge  forecast and what the overall activity is it's still given where we play and a lot of that is in the institutional space we see continued expansion. Now we've also expanded our sales force and our footprint so I think at this stage you could it would suggest we are picking up some share. So our pipelines are continuing to grow, we're converting those two orders are North America orders. We are up -- North America orders in total are up 6% but HVAC was up double-digits. And so we're high single-digits -- we're performing well and creating a backlog and we feel confident that we're going to see that continuing here at least in the near term.  As it relates to retail the discussion around retail is retail specific. I mean this is a project by project as we look at our customer base and what their plans were and what ultimately played out. It's specific to each of the retailers and so as I have said we have pretty good visibility especially with the large retailers, what their plans are, and we're going to monitor that as we go forward. 
Deane Dray: Great and then just what's embedded in the 4Q guide, you typically see during summer months some verticals make bigger project implementations like K through 1 colleges, are you seeing that those projects going through as expected?
George R. Oliver: Absolutely, I mean when we look at our growth as we suggested we're going to grow mid single-digits in Q4 and that will get us to 5% to 6% organic growth in total. And when you look at the compare that's over a 7.6% growth last fourth quarter. So we look at our current pipeline of projects that we're executing to deliver on that, those are all moving forward as planned.
Deane Dray: Thank you.
Operator: Our next question comes from John Walsh with Credit Suisse. Your line is open.
John Walsh: Hi, good morning. 
Antonella Franzen: Good morning.
John Walsh: Hi, so we were actually talking to a couple of integrators and they were really excited about a new product release you guys had put out enterprise management 2.0 and what they were basically intimating to me is it seems like JCI and Honeywell are really taking the lead on smart buildings AI and really bringing additional capability to occupants. Is there anything you can point to around metrics you've seen not necessarily specific to this product but other control products, obviously there's been good growth there that we're actually going to see building owners willing to upgrade and pay for some of these newer services that you're offering?
George R. Oliver: So this is core to our overall strategy for the company as you think about our portfolio leading in our HVAC equipment and then leading in building management. And building management it's how this is on top of what we're doing to integrate all of our digital platforms, create a data layer with our Digital Vault, and then to be able to create new solutions on top of that data to be able to create value for our customers. And so what you're referring to the enterprise management is what we call our jump which is John's controlled enterprise management taking all of that data and positioning that data to be able to deliver and execute for our customers things that they ultimately see value in. And so we've got that deployed now across a number of installations and very successfully and as we think about not only that but we've got a number of other digital solutions that we're deploying today that we can take our installed base that we have with our service business to be able to add on these digital solutions and be able to accelerate our service growth with the customers that we're currently supporting. So as you said its core to the strategy how we ultimately create more value for our customers and then leverage all of our digital capabilities to do that.
John Walsh: Yeah I guess maybe as a follow on, do you have any numbers around the size of the business either what your pure software component is, things like that if you can share? 
George R. Oliver: We don't segment our revenues today but as you know across our business we have a lot of software embedded in the products as well as the solutions that we bring to the market. So when you look at that we have software within our building controls, within our security platform, within our fire platform, and what we're doing now is taking all of that, integrating that as well as building a data platform that enables us to be able to create apps and be able to create new outcomes that ultimately is going to create service growth for us. So we don't segment it that way but as we go forward that's something as we look at how we're taking our building management solutions forward is something that we'll focus on and how we can create some metrics so you can track the progress that we're making with the investments we're making? 
John Walsh: Great, thank you.
Operator: Our next question comes from Noah Kaye with Oppenheimer. Your line is open.
Noah Kaye: Good morning, thanks. Just going back to China you talked about service maybe outpacing install. Just your thoughts on I guess one install coming back, reasons for any kind of delays there, and then your confidence and ability to drive price and favorable mix on the business you quoted?
George R. Oliver: Yeah, the comment on the low single-digits was in order as I think overall our orders were somewhat flat on the install side with the service being a little bit higher. But as we project what we're going to do there when you look at the overall growth in the pipeline we suggest that we're still going to see kind of mid single-digit growth in both orders as well as revenue. And that from a service standpoint we're continuing to put resources in place to be able to accelerate the service off the installed base that we've got in place there. And so this for us is a big market for us, it represents in our field business it's about -- represents about -- well in the overall buildings business 6% of our revenue and in the field business in APAC it's about 35% to 40% of our APAC business. So obviously a very important market for us.
Noah Kaye: And I guess not just generally -- not just for APAC but generally can you talk about some of your initiatives to drive greater recurring revenues, your previous comments on software and obviously there are tools here to make business more sticky but just generally how should we think about kind of the growth of recurring as a percentage of the total?
George R. Oliver: So in total when you look at the overall company service represents a little bit better than 25% of the revenue. About 60% of that is recurring and how we contract that revenue. And a lot of that is supported by software and so as we have been driving our service strategy there is a couple of key components making sure we get the right sales force that we're deploying globally. And as you know we've made tremendous progress over the last year, year and a half with the sales force getting the right footprint in the key markets that we're looking to grow within which we've been expanding our footprint. And then enabling that with the right solutions leveraging our technology incapability. So it's a combination of all three. We've been able to get to our run rate overtime that's roughly been about mid single-digits and our goal is obviously not only to continue to grow at the same rate that we're growing installed but also grow with a higher percentage of recurring revenue. So that's 60% that we contract that's recurring and then creating more stickiness with the digital solutions that we can ultimately deploy that becomes more recurring longer-term with the solutions that we put into place. And that's the overall strategy.
Noah Kaye: Perfect, thanks George.
Operator: Our next question comes from Tim Wojs with Baird. Your line is open. 
Tim Wojs: Yeah, hi, good morning everybody. Just -- maybe just one question I had on the investments that are you're kind of incurring right now, what's the right level of kind of ongoing incremental investment that we should think of as we kind of think in the out years, it was 60 basis point headwind to margins last year. I think it's probably closer to half that this year. How much of that can kind of go away over time and how much of that will kind of continue incrementally each year?
George R. Oliver: Well there is two elements that drive that reinvestment. The first is the sales increase that we were adding ahead of the growth actually coming through and that's been the headwind for the last two years. We are now adding at a rate that is sustainable so that the cost as a percent of revenue now has flattened out. So we shouldn't see any additional headwind going forward relative to our sales cost. The other big bucket is our reinvestment in R&D in new products and as you know we've been ramping that up over the last three to four years. We're now ending as we get through this year and we project going forward we should be able to maintain that level of reinvestment as a percent of product revenues more flat. So we shouldn't see any significant headwind there on a go forward basis. 
Tim Wojs: Okay, so if we kind of look into 2020 the investments that you've seen over the last couple years you'd actually think that would be more kind of flat on a year-over-year basis versus a headwind? 
Brian J. Stief: That's correct. 
George R. Oliver: As a percent of revenue so we'll be spending more dollars but as a percent of revenue we won't have the headwind on the EPS bridge. 
Tim Wojs: Right, right, exactly, okay. And then Brian just -- just on the debt pay down what's the average cost of the remaining debt now.
Brian J. Stief: About -- the remaining debt there's 97% of that that's fixed and it's at an average rate of just a little bit above 3%. 
Tim Wojs: Okay, great. Thank you.
Antonella Franzen: Operator I would like to turn the call over to George for some closing comments.
George R. Oliver: So again I want to thank everyone for joining our call this morning. As you see we're pleased with our continued momentum in growth orders and backlog. As I mentioned earlier we are keeping a close eye on the macro environment but overall our end markets are remaining healthy and our order pipeline robust. And I certainly look forward to seeing many of you soon. So operator that concludes our call.
Operator: Thank you for your participation in today's conference. Please disconnect at this time.